Operator: Good day, ladies and gentlemen, and welcome to the Q4 2013 Discovery Communications, Inc. Earnings Conference Call. My name is Sonia, and I will be your operator for today. [Operator Instructions] As a reminder, the call is being recorded for replay purposes. I would like to turn the call over to Mr. Craig Felenstein, Executive Vice President of Investor Relations for Discovery Communications. Please proceed, sir.
Craig Felenstein: Good morning, everyone. Thank you for joining us for Discovery Communications' 2013 Fourth Quarter and Full Year Earnings Call. Joining me today is David Zaslav, our President and Chief Executive Officer; and Andy Warren, our Chief Financial Officer. You should've received our earnings release, but if not, feel free to access it on our website at www.discoverycommunications.com. On today's call, we will begin with some opening comments from David and Andy. Afterwards, we will open the call up for your questions. [Operator Instructions] Before we start, I would like to remind you that comments today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are made based on management's current knowledge and assumptions about future events, and they involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see our annual report for the year ended December 31, 2012, and our subsequent filings made with the U.S. Securities and Exchange Commission. And with that, I'll turn the call over to David.
David M. Zaslav: Thanks, Craig. Good morning, everyone, and thank you for joining us. 2013 was another very successful year for Discovery, as the company delivered strong financial results while further developing our global content portfolio and investing in a diverse set of new and existing strategic growth initiatives. Discovery's ability to grow consistently year in and year out, even as global economies expand and contract, technologies rapidly evolve and competition increases across new and existing distribution models, speaks to the universal appeal of our content, as well as the sturdiness of our business model and the opportunities prevalent throughout our unmatched global distribution platform, now an average of 8 channels in over 225 countries. The breadth and depth of the asset base we have built continues to offer a number of unique growth prospects. And while we have augmented this existing potential with several strategic acquisitions that we expect will deliver additional long-term value, our primary focus remains maximizing the organic opportunities that our unique global infrastructure and an evolving media landscape provide. Demand for high-quality content with great storytelling and compelling characters has never been higher, and our unparalleled reach, combined with a sustained investment in building stronger global brands, enabled us to once again grow our market share significantly this past year. Domestically, this was our fifth consecutive year of audience growth, with viewership across our portfolio up 4% in 2013. This consistency speaks to the ability of our creative teams to evolve and adapt as audience tastes change and choices proliferate. It also highlights the success we have had in further strengthening the existing brands like Discovery Channel, Animal Planet and ID, all of which had their most watched years ever in their key demos; and the success we have had growing emerging brands such as OWN, Destination America and Velocity. Since 2008, we have launched 7 new brands domestically, more than almost all media companies here in the U.S. combined. And we fully believe that if we invest wisely and deliver content that is unique and engaging, you can still attract new audiences and deliver real value to advertising and affiliate partners, we believe. Last month, we announced our newest brand, the American Heroes Channel, which will debut in March and expand on the Military Channel's promise to honor the great defenders of our freedom while providing a rare glimpse into major events and historical figures that have shaped our world. The larger audiences we generated in 2013 once again translated into significant advertising gains, with 8% ad growth this past year as our best-in-class ad sales team maximized the solid pricing and demand environment while capturing additional dollars through customized ad integrations. I do want to note that ad growth did slow in the fourth quarter, as viewership decreased slightly across the portfolio. Several hit series on Discovery and TLC returned during the quarter, and although they delivered a large audience and won their respective nights, their viewership declined versus a year ago, when the portfolio grew over 14%. The good news is 2014 is off to a great start, with January ratings up 11% versus the same period a year ago, and we have clearly regained our momentum. TLC delivered 16% viewership growth in its key demo this past month, led by the success of several returning series and the strong debuts of several new series, including 90 Day Fiance and Gypsy Sisters. Investigation Discovery, ID, drove viewership up 35% and is now the #2-ranked network for women in the United States in the 25 to 54 demo in total day, despite only being in 85 million homes. That is a wow. The #2 network for women, second only to USA Network. And ID as a network didn't exist 6 years ago. In addition, we still have a ways to go to fully maximize the CPM value of ID. Discovery Channel generated the most-watched month in its history on the back of several returning series and the audience we generated from our first critically acclaimed scripted miniseries, Klondike. And Destination America and Velocity were both up over 38%, as they continue to attract new audiences with their unique brands and compelling program offering. January was another very strong month for OWN, led by the return of Tyler Perry's hit series, The Haves and the Have Nots, which is the #1 show for women in America on Tuesday at 9:00. Oprah and Tyler are really impressive. OWN also has Love Thy Neighbor, along with the second season premiere of OWN original series, Raising Whitley. January ratings were up over 30%, building upon the 25% growth OWN produced in 2013. Most importantly, OWN is now delivering both cash flow and positive equity earnings to Discovery, and these returns should only grow, given the value it is generating for advertisers and affiliates. With ratings strength across-the-board in January, we are off to a great start to the year. It's still early, but with the regained momentum across our portfolio, a strong upfront under our belts, steady scatter pricing and cancellations in line with a year ago, we're confident that we will deliver significant advertising growth domestically in 2014. Advertising, however, is not the only area where we're leveraging the success of the content we've invested in over the last several years. Towards the end of 2013, we completed our latest round of affiliate negotiations, and we're very pleased with the very positive outcome, as our distribution partners continue to recognize the strong value of the brands we have built and the audiences we deliver. I've said this before, but it still holds true: there has never been a better time to be in the content business. People are watching more TV over multiple platforms, and because we own the majority of our programming, Discovery is particularly well positioned to take advantage of any opportunities, whether with our existing affiliate partners or new entrants to the marketplace. While our investment domestically is certainly paying off in terms of new avenues of growth, market share gains and sustained financial momentum, the faster expansion and greater opportunity remains, without question, across our unmatched international portfolio, both from further development of our organic asset base, as well as from the integration of our recent SBS Nordic and Eurosport acquisitions. Organically, the distribution pipeline we have built over the last 2 decades now averages 8 networks in over 225 countries, and we continue to capitalize on the further evolution of pay-TV, as well as the burgeoning demand for cable content. Pay-TV penetration across the entire international portfolio increased double digit in 2013, led by 17% growth across Latin America and nearly 20% growth in Asia. And with pay-TV penetration still below 50% in countries like Brazil, Mexico and Turkey, there's still plenty of room for continued distribution gains, given our market position. The global distribution we have secured has given us a significant head start internationally and continues to pay dividends. However, it is the targeted content and infrastructure investments we have made over the last several years that are allowing us to fully exploit the opportunities our unique market position provides and which will continue to enable us to grow as pay-TV penetration eventually subsides. This past year alone, we launched over 17 new international feeds, offering more localized content, scheduling and languages that provide customized programming, which makes our networks more attractive for viewers, advertisers and affiliates. The strength and local feel of the brands we have built, together with the significant subscriber gains we are experiencing, resulted in viewership growth of 22% across our international portfolio in 2013. Importantly, we are not overly reliant on any one region or country, as our audience gains have been very much broad based, with double-digit increases across nearly every region, led by Italy and Spain in Western Europe; Mexico and Brazil in Latin America; and Russia and South Africa in our CEEMEA region. More and more viewers across the globe are connecting with our suite of networks as we leverage the success of our domestic programming, invest in compelling local content across pay and free networks and expand the reach of successful brands like TLC, ID, Science and Animal Planet. As we have further invested in content and as markets have further developed, we have also made targeted investments to ensure we have the appropriate infrastructure in place to maximize the returns on the larger audiences we're delivering. In the last 2 years, we have opened new offices in countries where local expertise and involvement will drive more value, and we've formed sales alliances in markets such as Italy, Colombia and the Netherlands, where additional scale helps unlock additional revenue opportunities, the result of marrying the market share growth we are delivering with the more efficient ad capabilities we have developed, a total of 23% ad sales growth this past year, excluding acquisitions, building on the 19% growth we delivered in 2012. We fully expect to continue delivering strong organic ad growth moving forward, given the strength of our brands, the stability in the ad market and the trajectory of pay-television. At the same time, we have created additional value and further strengthened our long-term growth portfolio with the acquisition of SBS Nordic and our recently announced agreement to acquire majority control of Eurosport. As we have demonstrated over the past several years, we are highly selective when pursuing external assets, but both of these businesses expand our portfolio and deepen our footprint across some of the most well-penetrated and stable pay-TV markets in the world. They complement our nonfiction networks in terms of genre appeal and demographic reach, while providing synergies that strengthen our relationships with existing advertising and affiliate partners. Already, we have made significant progress in integrating the SBS Nordic assets, taking out millions of dollars in costs across the combined platforms. While most of the expense synergies have been recognized, we are still in the very early days of maximizing the revenue opportunities. We have, however, seen a marked increase in the number of new advertisers on our existing networks, with 75 new ad clients on Discovery and TLC in Sweden and 102 in Denmark since we established a joint ad sales team. So while early, there's plenty of indication that the diversity and depth of our content offering is quite compelling to advertisers across the Nordic region. On the Eurosport front, we anticipate closing on the acquisition of a majority ownership position in the next few months, and we look forward to further combining the power of Eurosport's brands and audience reach with Discovery's network portfolio, local infrastructure and country-specific expertise to create an unrivaled and powerful offering for viewers, advertisers and affiliates. 2013 was another great year for Discovery, as we once again generated strong financial results while further executing operationally and strategically to better position the company for sustained long-term success. As we move into 2014, our priorities remain unchanged. And with operating momentum throughout our domestic and international portfolio, a current favorable operating environment and growth opportunities across our organic and acquired asset base, we remain committed to further building shareholder value in the year ahead. Now let me turn the call over to Andy, who will provide additional context for our expectations for 2014.
Andrew C. Warren: Thanks, David. And thank you, everyone, for joining us today. As David highlighted, Discovery delivered another very strong year in 2013 as we leveraged the audience and market share gains we're capturing around the globe into double-digit ad sales growth and realized double-digit international affiliate revenue growth from our increasing global subscriber base. On a reported basis, total company revenue for the year increased 23%, and adjusted OIBDA increased 16%. Excluding the impact of foreign currency, licensing revenues primarily related to our existing Netflix agreement and the newly acquired businesses, most notably SBS Nordic, total company revenue growth for the year was 10% and adjusted OIBDA growth was 9%, demonstrating our sustained ability to deliver consistent financial results even as we invest in further building our networks and operations worldwide. Focusing on the fourth quarter, on a reported basis, total company revenue increased 28%, led by 64% international growth and 5% domestic growth. Excluding newly acquired businesses, as well as the impact of foreign currency, total company revenue grew 10%. Total operating expenses on a reported basis increased 33% [ph] in the fourth quarter, primarily due to the inclusion of recent acquisitions. Excluding these newly acquired businesses and the impact from foreign currency movements, total company expenses increased 8% versus the fourth quarter a year ago, predominantly due to the anticipated higher content amortization we incurred throughout 2013, as well as some of the additional content write-offs we highlighted on our last earnings call. On a reported basis, adjusted OIBDA in the fourth quarter increased 21%. Excluding newly acquired businesses and foreign exchange, Discovery's continued ability to generate revenue growth in excess of expenses translated into a 12% increase in adjusted OIBDA. Net income increased to $289 million in the fourth quarter, up 29%, driven by the strong operating performance in the current year and by $37 million in improved equity earnings, highlighted by OWN's first quarter of positive equity contributions, a significant milestone. These items were partially offset by $56 million of increased amortization, primarily due to the purchase accounting associated with the SBS Nordic acquisition; $19 million of higher mark-to-market equity-based compensation due to the increase in stock price; and $14 million of additional interest expense. Earnings per diluted share for the fourth quarter was $0.81, 33% above the fourth quarter a year ago. Adjusted earnings per diluted share, a more relevant metric from a comparability perspective that excludes the impact from noncash acquisition amortization of intangible assets, was $0.92, a 51% improvement versus 4Q 2012. For the full year 2013, earnings per diluted share from continuing operations was $2.97, up 18%. And adjusted earnings per diluted share from continuing operations was $3.25, an increase of 29% compared to 2012. Free cash flow increased 4% in the fourth quarter to $316 million, as the strong operating performance was partially offset by continued content investment and increased cash tax and interest payments. For the full year, free cash flow increased 14% to $1.2 billion, driven by the strong operating performance, partially offset by higher content investments as well as increased interest payments and working capital needs. Importantly, content spend for the full year, excluding newly acquired businesses, increased by only mid-single digits. And as David discussed, this increased programming spend is delivering global market share growth and higher advertising revenue. Before moving on to the divisional results, I do want to highlight that, while not part of our free cash flow, OWN repaid Discovery $34 million in 2013, including $23 million in the fourth quarter alone. We anticipate that in 2014, OWN's cash contributions will increase significantly, given its ratings and advertising revenue momentum. Now turning to the operating units, the U.S. Networks continued to perform well during the fourth quarter, with total domestic revenues up 5% led by 7% distribution revenue growth. Excluding additional licensing revenue, total domestic revenue increased 4%, with distribution revenue up 5%, predominantly from higher rates and, to a lesser extent, additional digital subscribers. Advertising revenue increased 4% in the quarter as a stable pricing and demand environment was partially offset by delivery declines at Discovery Channel and TLC. For the full year, our U.S. ad sales team delivered another year of strong growth, translating the 4% viewership gains across our portfolio, most notably from Discovery Channel, Animal Planet, ID, Destination America and Velocity, into 8% total domestic ad sales growth, which is on top of the 9% ad increase the U.S. Networks delivered in 2012. Current ad market trends continue to be stable, with scatter pricing up double digits from the mid- to high single-digit gains we garnered during the upfront negotiations. With the regained ratings momentum in January that David mentioned and with the healthy macro environment continuing, we anticipate ad sales growth will accelerate in the first quarter 2014, despite competition from the Olympics. For the full year 2013, our distribution team also delivered solid results, delivering 5% growth, excluding the impact of licensing agreements. They also completed several new affiliate deals with existing operators that secured higher rates across the portfolio, locked in additional distribution for a number of our emerging networks and obtained real value for granting authenticated content rights. Turning to the content -- to the cost side. Domestic operating expenses were up 6% from the fourth quarter of 2012, primarily due to the anticipated higher content amortization associated with cash programming spend over the past few years, as well as from the onetime content expenses that we highlighted on the last call related to the termination of the BBC programming agreement and the content impairments associated with the TLC management change. Excluding these onetime costs, operating expenses at our U.S. Networks increased 3% compared to a year ago. Domestic adjusted OIBDA increased 5% on both a reported basis versus last year's fourth quarter, as well as excluding the impact of licensing agreements and content write-offs. For the full year, domestic adjusted OIBDA also grew 5% on a reported basis, while increasing 4% excluding the impact of licensing agreements. Turning now to our international operations. Reported results include the impact of newly acquired businesses SBS Nordic, Switchover Media and Fatafeat. For comparability purposes, my following international comments will refer to the results excluding these acquisitions. The International segment continued to deliver a very strong momentum across our global operations this past quarter, with revenues expanding 15%, led by 25% ad and 13% affiliate growth. Excluding the impact of exchange rates, total revenue growth was 18%, with advertising and affiliate revenues increasing 26% and 16%, respectively. The advertising growth was broad-based, with double-digit increases across nearly every region, led by Western Europe, primarily from the continued success of our free-to-air initiatives, most notably Real Time in Italy; and by Latin America, from higher pricing and delivery across the regions. The fourth quarter was a culmination of a very strong year for our international ad sales team, which translated the viewership gains we're capturing around the globe into 23% ad growth, excluding the impact of foreign currency. On the affiliate front, the 16% affiliate revenue increase in the fourth quarter, excluding currency, was driven by subscriber growth, especially in Latin America, from the continued expansion of pay television in Brazil and Argentina, as well as by the consolidation of Discovery Japan. Excluding Japan, affiliate revenue growth would have been up about 10% for the quarter and high single digits for the full year. Operating costs in International were up 14% in the fourth quarter, excluding the currency impact, primarily driven by higher content amortization, increased personnel cost as we further expand our global footprint and by the consolidation of Discovery Japan. The International segment delivered 21% adjusted OIBDA growth in the fourth quarter, excluding foreign currency, as our international team continued to significantly grow revenues while investing in smart, long-term growth initiatives. The fourth quarter wed up another year of exceptional financial and operational execution by our international team, with 2013 revenues and adjusted OIBDA both up 16%, excluding foreign currency. These results followed the 18% revenue and adjusted OIBDA growth, excluding currency, that they delivered in 2012. Taking a look at our financial position. With a strong balance sheet and sustained financial and operational momentum, we continue to return capital to shareholders through execution of our share repurchase program. As we discussed, our first priority remains investing in our core businesses to drive sustained long-term growth, be it through investment in existing networks and platforms or through exploring external initiatives such as Eurosport. While that remains our focus, given the free cash flow we are generating, our gross leverage targets and long-range free cash flow per share growth assumptions, we have the opportunity to continue returning capital to shareholders, as well as invest in our global businesses. During 2013, Discovery repurchased over $1.3 billion of stock. Since we began buying back shares towards the end of 2010, we have spent over $4 billion buying back shares, reducing our outstanding share count by more than 90 million shares, or 21%. As we look ahead to 2014, we are encouraged by the momentum across our asset portfolio and the continued strong pricing and demand environment in many of our key markets. Important to note that current year guidance assumes that the Eurosport transaction closes during the middle of the second quarter, and while we have included the expected purchase accounting adjustments associated with the transaction in our guidance, these items are preliminary estimates. Therefore, we will update you if these assumptions materially change. Additionally, while we do anticipate generating SVOD revenue during the year, given how these distribution revenues are recognized in the P&L, we have not included significant SVOD contributions in our expectations. As new SVOD deals are executed, we'll update our future guidance expectations. With that as a backdrop, for the full year 2014, we expect total revenues to be between $6.45 billion and $6.625 billion and adjusted OIBDA to be between $2.6 billion and $2.725 billion. For comparison purposes, excluding from these full year expectations any Eurosport contributions, the extra quarter of SBS results, the impact of SVOD and negative foreign currency headwinds of approximately $50 million of current exchange rates, we expect high single- to low double-digit total company revenue and adjusted OIBDA growth in 2014. Net income is expected to be between $1.2 billion and $1.3 billion, led by the anticipated strong operating performance, improved equity earnings from continued progress at OWN and a lower effective tax rate. This growth is expected to be partially offset, however, by approximately $60 million of higher interest expense, as we anticipate issuing additional debt this year to maintain our target leverage, and by approximately $50 million of additional depreciation and amortization due to purchase price remuneration associated with the Eurosport transaction. We also assume mark-to-market stock compensation expense of approximately $130 million, which is in line with 2013 actuals due to additional shares granted, as well as expected appreciation of the stock price. Lastly, we anticipate free cash flow to exceed $1.2 billion in 2014, with significant growth in cash flow from operations being partially offset by higher cash taxes of approximately $150 million associated with the potential expiration of the Section 181 domestic content production deduction benefit. Thank you, again, for your time this morning. And now David and I will be happy to answer any questions you may have.
Operator: [Operator Instructions] The first question comes from John Janedis, UBS.
John Janedis: Two questions. Maybe, David, I'll start with the first one. It seems like there's a lot of rumbling with Eurosport. And I think you've been pretty transparent about the opportunities you see with sports generally. And so looking ahead, there's been press about Premier League rights and maybe Formula 1, you've always had a longer-term view on investment, so can you update us on your appetite for sports-related assets going forward?
David M. Zaslav: Sure. Look, Eurosport, we think, is a fantastic asset. It's in 55 countries between 1 and 4 channels, and it has a lot of rights. And locked up for the long term on Eurosport is the Grand Slams for tennis, Tour de France, the Bundesliga and the Winter Sports. So it's very stable, and the economics against those sports are very favorable. So we're going to apply, really, 2 levers to it. One is, in every one of those countries, we have a local team that's doing sales and that's meeting with distributors to drive better distribution deals. So we can go very local. And if you remember, Eurosport only sells Pan-European right now. So what we did with our international business, when we took it from 120 million to over 1 billion, was we went local. So one, we think we have some real revenue opportunity by piggybacking on our existing infrastructure. And then, we will look opportunistically. There is no platform like Eurosport. In many ways, it's the ESPN of Europe. It's in 55 countries. And so as we look at what we can do with it, the question is, is there opportunities to get longer-term growth by stepping up in certain markets for more sports? If we do, do it, there's a good chance we'll be doing it in a joint bidding with a distributor or a player in the market. We'll be disciplined about it, but we're going to look at all options because, as we look at our portfolio, across most of Western and Eastern Europe, we already have 10 channels. We have Discovery as the #1 network in almost every one of those markets. We have TLC, we have Animal Planet, we have some broadcast networks. And so we have some real optionality in order to take advantage of this very unique asset. But we will be disciplined, and we won't do any deals unless we think there will be significant long-term growth or, as in the case of when we rolled out TLC and ID around the world, that we could pick up -- that it could be accretive immediately. So we'll be disciplined, but we do believe Eurosport, together with our assets, where we're already the #1 cable TV player outside the U.S. by a lot; and in Western Europe, we've made a big play; and we're finding a lot of success where we're growing over 20% in a market that's relatively flat, that Eurosport will be a very big helper to us over time.
John Janedis: And maybe quickly, you've been asked in the past about hypothetical M&A among the MVPDs. With today's deal, is there any reason for us to rethink, I guess, maybe your long-term aspirational distribution growth rate in the U.S.? And does the deal change the terms of the recently signed Time Warner Cable deal?
David M. Zaslav: Thanks, John. Well, look, we're going to stick to our knitting. This is a great time to be in the content business because people are spending more time on TV and on other platforms consuming content. In the last 7 years, we've grown from about 5% market share; in January, we were over 12%. We have 14 channels that have niche viewers, whether it's OWN that's a top 20 network now and a top network for African-Americans, Discovery having its best month, TLC back and strong, Animal Planet now a top 20 network when it was #40. For us, if we have strong content with great characters and great stories, we are convinced that we will do very well. We did very well at the end of last year. And Comcast is a great company, and if they're successful in bringing this deal to the finish line, I'm sure that they'll do a great job in offering a lot of different products to consumers to consume content, including TV Everywhere, where they're a leader, and that will be advantageous for us. So I think that our scale in the U.S. is very strong. Our brands have never been stronger, and we like our position.
Operator: The next question comes from Doug Mitchelson, Deutsche Bank.
Meghan Durkin: This is actually Meghan Durkin standing in for Doug. I think Andy mentioned that he expects the U.S. ad growth to accelerate in 1Q despite the Olympics. So what more can you tell us about that? How much acceleration should we expect? And how big of a negative impact is the Olympics in the quarter? What exactly happens? Did you hold back content around the 2 weeks, or is it just an impact from advertising being sucked up over at NBC?
David M. Zaslav: Thanks, Meghan. Look, we faced some headwinds in the fourth quarter because Discovery and TLC were both down between 13% and 16%. And so that definitely had some impact, but our focus was to really dig in and start the year strong. And both Discovery and TLC are up. Our portfolio is up over 10%. The advertising market is very healthy and strong. Pricing is good. And so we're off to a very good start. NBC is doing a great -- Universal is doing a great job on the Olympics. That certainly will have an impact. But when we factor that in, we think the out-of-the-box strength that we've seen and the strength of the advertising market will allow us to perform quite well in the first quarter. We can't really say where we'll be for the year in terms of how strong advertising market stays, but right now, the market is good, and Joe Abruzzese and the team has been able to be quite effective. So we still have to see how we do with the Olympics. Andy?
Andrew C. Warren: Yes, just to put a little more color on that, Meghan, is the -- look, as we know, Olympics is really only 2 weeks. Right now, as David said, the market is cooperating and strong. Cancellations are low. So it really depends on the scatter market and ratings. But right now, we definitely see some acceleration from where the final results were for the fourth quarter.
David M. Zaslav: There's no question the Olympics is having an effect on our ratings, but our strategy has worked. We came out very strong in January with a lot of momentum, viewers spending a lot more time with all of our brands. And now we expect that a lot of people in America are going to be spending time with the Olympics. We see our ratings are down on a few of our networks in a meaningful way, but we expected that. And when the Olympics end, we're going to push hard to have those viewers come back.
Operator: The next question comes from Todd Juenger, Sanford Bernstein.
Todd Juenger: A question and a follow-up, if I may. Just start with, you guys have been in most markets around the world for a long time. So I would love if you just could reflect on, every so once in a while, things flare up in emerging markets and people get scared, and then things tend to come back and do well, and it goes up and down. How does the underlying growth of pay-television in those markets respond to those ups and downs? How correlated would you say, especially recently, in the environment we're in now, is the growth of pay-television in emerging markets to the bigger macro ups and downs of those markets? Then I have a follow-up.
David M. Zaslav: Thanks, Todd. Look, it has some impact. Having said that, we've been able to grow our viewership over the last year over 22% and get corresponding ad revenue of 23%. Our brands are strong. Our content travels well. There's no question that, when you see the economy struggling, that subscriber growth slows down a little bit, and we've seen that. And we view this as upside. In Western Europe, with the strength we're seeing; in Mexico, where pay-TV is only 42% penetrated; or Brazil, 27% penetrated; if those markets pick up, then I think you'll see the C class opting on to more pay-TV, which we'll be an upside for us. But I think if you look at the past 2 years or 3 years around our 225 countries, it hasn't been -- with the exception of Brazil, Mexico, Russia and India, you haven't seen huge growth. And so I think that there -- it's more upside for us, and we've really focused on being disciplined in how we spend our dollars, getting our content driven around the world and being better at ad sales so that we're growing over 20% internationally over the last several years in economies and subscriber growth that's somewhat modest in terms of what the potential would be in a lot of those markets.
Andrew C. Warren: And Todd, just to add to that, one metric that we look at is the Discovery Channel and how much that sub-base is growing internationally. And in 2013, it was up 8%. So that's a good proxy for -- that's the most widely distributed channel out there. So that 8% growth is indicative of kind of how the market is still growing at a nice clip.
Todd Juenger: That's actually very helpful, Andy. Then a quick follow-up. Not to spend the whole morning talking about the Olympics, but I just wanted to follow up with Meghan, because if you look back at the last Summer Olympic Games, one thing that took us, at least personally, a little bit by surprise was actually the impact on international advertising. So I guess the question would be, both with the Winter Olympics now and then also with the World Cup coming up, is there anything we should think about more in the international advertising markets in terms of any displacement?
David M. Zaslav: Sure. Well, look, the Olympics is a moment where families come together around the world, and it most certainly has an impact. It's probably biggest in the Nordics for us, where we don't have the Olympics. We have market share in those -- in Norway, Denmark, Sweden and Finland of between 25% and 42%, and we don't have the Olympics. And so in some of those markets, we're seeing more viewership decline. But it also depends of the brand. For instance, Discovery has historically had much bigger impact in terms of people moving away from Discovery to go to the Olympics. So I would say it's all consistent with what we've expected so far.
Todd Juenger: And World Cup, any different?
David M. Zaslav: I think the same, but probably a little bit more modest across-the-board for us because of the number of hours. It doesn't take people away for 3 straight weeks, or 2.5 -- almost 3 straight weeks like the Olympics do.
Operator: The next question comes from Anthony DiClemente, Nomura.
Anthony J. DiClemente: Just 2 questions, I suppose both for David. The first one was, in terms of your ratings resurgence in January, I'd just be interested to hear, was there anything that -- any string that you pulled, any levers that you pulled in terms of getting ratings to turn around? How should we think about that? And then I have a follow-up.
David M. Zaslav: Okay. Well, we did make a change on TLC about 5 months ago. We focused very hard on what is TLC when it's at its best. The good news is we now have TLC as the most distributed female brand in the world. So we looked at where we were successful outside the U.S. and what the audiences were getting nourished by, and the new creative team there, I think, has taken it up a level. And so we're very happy with TLC, which was up almost 20% in January and is faring well so far in February. On Discovery, I think it's really more about we have a lot of very good shows that are coming back. March, I think, will be a very good month for us in terms of when our premieres are coming of our stronger series. You'll probably see more of an acceleration in March and April, but the brand is strong and the content is strong.
Anthony J. DiClemente: Okay, great. And then just once again, quickly, David, on Comcast, Time Warner Cable. Is it the kind of thing where, if Comcast is at a modestly higher rate card per subscriber, perhaps because they have a little bit less scale as it is than Comcast, that if Comcast were to acquire Time Warner Cable, that the per-subscriber fee would modestly adjust downward to the Comcast rate card? Is that the way that we should be thinking about it in terms of your or content companies' affiliate fees post-closing?
David M. Zaslav: I can't speak to any specific agreements, but it really depends. It depends on what the contract says, and that's really all I can say.
Operator: The next question comes from Michael Nathanson, MoffettNathanson. [Operator Instructions]
David M. Zaslav: Next question, operator.
Operator: The next question comes from Alexia Quadrani, JPMorgan.
Alexia S. Quadrani: Just a couple of questions. First, if you could give us a bit more color on the nature of your distribution agreements in general, not naming any specific names. But if I remember correctly, I think there's more of a steady increase over the life of the contract, not so much of a step-up initially. Is that the case? Is that what you're experiencing? And what's the average life of these contracts?
David M. Zaslav: Sure. The answer is yes, although we're open to -- when we look at the economics of a deal, we look at it over the full term, which tends to be somewhere between 4 and 6 years. Our deals come up about 20% a year, which we've talked about. This past year, we did very well. We were able to get significant increases. We were also able to get significant increases in distribution of some of our more strategic channels. So ID, for instance, which is now the #2 network in America for women in its all-day rating, is now in 85 million homes. And within the next 12 months, it will be in 90 million homes. And so that's a key strategic initiative for us. It gives us significant economic value, but it also gives us additional advertising value. So that's a channel that was in 50 million homes 4 years ago, will be in 90 million homes by the end of the year. And at least in January, USA Network was the only network that delivered more women for the month in -- so those are the kind of things that we look at. But we did focus primarily on getting meaningful increases in the sub fees. And then we look at some of the other things that are of strategic value. Outside the U.S., the deals tend to be shorter. Usually, about 3 years.
Alexia S. Quadrani: Okay. And just to follow up on your comments earlier about the SVOD, the licensing revenues. I think that you said the guidance does not any include any additional new deals. But we should still see some further licensing revenues, I believe, for the next couple of quarters, is that correct? And that would be in your guidance, from contracts already signed?
Andrew C. Warren: That's right, Alexia. What we've included in the guidance right now -- we haven't assumed any larger deals being done. There's a little bit of runoff for the current deals that would impact 2014, but it's a very small amount.
David M. Zaslav: And as we look at SVOD, we look at where we were when we did those deals, which was about 9% of viewership on cable. In January, we were over 12%. We have been focused on our content, both to make our channels better, but how do we create content that we could take effectively around the world and also are more valuable in all of these windows? So things like The Haves and the Have Nots, which is a scripted series, which is #1 for women on Tuesday nights on OWN, is an example of a product that's great on cable, repeats well but could be very attractive on SVOD. Klondike, as well. We found that the viewership was up 30% in C7. So we did very well on it, it was very strong for the brand, but those 6-hour scripted series are things that I think will help us with that window domestically and around the world. And so we haven't built that in, but we think that our 14 channels, the brands and the bulk of what we offer to players in that window, whether it be domestically or outside the U.S., are valuable. And so we'll be looking at that. We haven't been aggressive about participating in that window outside the U.S. because, in many of the markets, we've been more driven by pushing pay-TV. But as the markets mature, we have some good optionality there.
Operator: The next question is from Michael Nathanson, MoffettNathanson.
Michael Nathanson: Let me ask one for David and Andy, you guys, both together. You mentioned Klondike, and I think the series did really well for you. Is there a shift, you think, for Discovery to add more scripted content? And if so, how does that impact your programming cost assumptions in the next couple of years and operating margins domestically? So if you can just answer kind of maybe the need to change the programming mix for Discovery, and how does that impact margins and expense growth?
David M. Zaslav: Thanks, Michael. Klondike delivered over a 3 billion rating for us. It was very good for the brand, got a good response from advertisers. But that's not the core of what we do. The same way we do Planet Earth and we do Life as a big series, to talk about the strength of Discovery, it's reinforcing the fact that Discovery's the #1 most valuable -- most valued brand in the U.S. by cable operator studies and by viewer studies. And so as part of that, we need to do big natural history programming. And we think, every once in a while, we need to do something scripted that really reflects the DNA of what Discovery is. We think Klondike did that. We like the nonfiction business. We like the economics of the nonfiction business. We also like the way that content moves around the world and repeats. And so I think, from time to time, you'll see us playing in the scripted space, but you will not see us accelerate or lean into that.
Andrew C. Warren: And Michael, from a financial perspective, look, as David said, while these tent-pole events, whether it be scripted or live events, are important, it does not change our view that high single digits is the right kind of content growth profile that we're going to have going forward. So to me, it's more of a reallocation. And still, the importance of just singular tent-pole events is kind of what this is all about.
Michael Nathanson: Okay. We had assumed, I think, that there would be slower programming growth this year versus last year because last year, you did spend more. Is that still a right assumption, though, there's a deceleration domestically in the expense growth around cost of revenues?
Andrew C. Warren: Yes, so let's split it between cash and cost. On the cash side, as we said at the beginning of '13, we're going to be in the mid-single-digit growth on content spend, we did that. We think, on the cash side for '14, it will be kind of mid- to high single digit. On the expense side, while we had the bigger amort expense piece in '13, we definitely see that abating in '14. So very much in line of what we said before as far as mid-single-digit expense in cash content spend in '13 and lower expense in '14.
David M. Zaslav: Despite the mid-single-digit increase, we're becoming much more efficient in moving our content around the world. And with TLC distributed, we have ID now in over 150 countries. That will be in close to 200 countries over the next year, and the fact that we're much more effective at sharing our content around the world, we think we're getting a bigger bite at the apple. So as we see our market share growing over the last few years outside of the U.S. at 20-plus percent, we think we have a very good shot of maintaining that. And we're very strong coming up this year. So we are accelerating in terms of how we see investment in content to grow our market share. We just think we could do it much more efficiently than we have been because our brands are stronger, we have a lot more that's working but, more importantly, we're sharing content across Discovery, TLC, Animal Planet, Science more effectively.
Operator: The next question comes from Ben Swinburne, Morgan Stanley.
Benjamin Swinburne: David, you've been around this business for a very long time. I know you talked a little bit about how the Comcast-Time Warner Cable deal may or may not impact you. I'm just wondering if you think, over the longer term, this drives a greater consolidation on the media side. It sort of seems like, over the years, distribution consolidates, media then responds, or vice versa. So I'm just wondering if you think the argument around consolidation in content makes more sense now, particularly in the U.S. And then, on a separate topic, for Andy or Dave, when you look at your international affiliate revenue growth outlook, which I think was kind of mid-teens last year on an organic basis, we've got Europe getting better, maybe some of the EMs getting worse. Do you think that meaningfully changes in '14 and beyond? Do you expect that to accelerate or decelerate when you look at the international affiliate outlook?
David M. Zaslav: On the consolidation side, I'll leave that to the distributors, but it does -- we've seen some consolidation in Europe. I think our expectation, in terms of how we see the company, is that we've been in a race. One of the reasons why we've launched 7 new channels over the last 5 years while we've invested in content is both because of consolidation and because content is moving onto other platforms. If you have strong brands and great shows, we think that could be more growth and more opportunity. But if your content isn't strong enough, that consolidation in Europe, consolidation around the world could be a challenge. And so when we say we think this is the best time to be in the content business, that's based on the idea that we own all of our content, our brands are fresh and growing, and people are spending a lot of time with our shows. And so whether there's a lot more consolidation or a little bit, our expectation is that there'll be some. And the way that we'll be more effective in that environment is to have our content strong and to own it so that, as new windows open up, we have the ability to sell, as we have been across those windows.
Andrew C. Warren: And Ben, from a financial perspective, remember the consolidation of Discovery Japan skewed the 2013 numbers to be that mid-teen. It actually was high single digit, excluding Japan, and we expect that to continue in '14.
Operator: The next question comes from Jim Goss, Barrington Research.
James C. Goss: A couple. The -- first, I wonder if you could comment on the pace of integration of SBS in terms of the margin potential you think it can eventually achieve, like will it match the rest of the international businesses and over what time period? And then, secondly, you talked about an average of something like 8 networks in many international markets under which you could sell ads. I know Discovery, Animal Planet, TLC and ID are ones you've highlighted. What are the other 4 that might typically comprise the channel lineup in your international markups -- markets?
David M. Zaslav: Let me take the second one, and then Andy will talk about the first. If you go to Latin America, we have a channel called Home & Health, which is one of the -- which is a top 5 network in Latin America for women. It's the equivalent of like a Home and Garden, but we got down there many years ago and have built that channel, which is quite strong for us as a female brand. We also have Discovery Kids in Latin America. In Brazil, Discovery Kids is actually the #1 network in Brazil. It's the equivalent of the USA Network of Brazil, there's a ton of co-viewing. And for 6-and-unders, we also beat all the other kids networks by a fair amount. We also have the Science channel. We've been -- as you said, we have ID, Animal Planet, Discovery. In a number of markets, we've launched channels called Turbo, which is similar to what we have with Velocity, which is a very efficient product for us. We take content like Wheeler Dealers, which is very big in Europe. We bring it over here, we put it on Velocity. And so that whole auto category, men, Turbo, is something that we're finding as a very efficient push to push around the world. And then, we have some broadcast networks, which, as we've talked about in the past, we really see as a hybrid. Even though we don't have sub fees on those, we launch those in markets with low pay-TV penetration. And those, we tend to take our 14 channels here in the U.S. and our average of 10 channels around the world, take that content and figure out a fun mix of male, female content at a very, very low cost to reach a bigger audience.
Andrew C. Warren: Jim, on the SBS side, clearly, the cost synergies are largely behind us and are definitely higher than our deal scenario and deal expectations, the cost synergies around facilities and people costs, et cetera. So that's actually pacing ahead of where we thought. The revenue synergies are still in process, and our view today relative to a year ago is those are also going to be higher. So net-net, SBS is performing better than our deal case, and the IRRs look stronger than we even thought going in. As far as all-in margins, while we're definitely going to grow the SBS margins, and we have already from where they were before, they won't get to where the total D&I is only because of the general entertainment nature of that business, and that's a different cost model. But to be clear, we're definitely growing the margin profile of SBS, and it is performing better than we had expected when we did the deal.
James C. Goss: Okay. Actually, one more quick thing. Can you go the other way around, too, with Eurosport, bringing that into the U.S.A., given there might be some interest in -- given the melting pot nature of the country?
David M. Zaslav: Sure. Well, we have a significant platform advantage in -- throughout all of Europe. It's beachfront real estate. Having between 1 and 4 channels that are -- where we can do sports gives leagues the choice of either going country-by-country or doing a broad deal with us. It also -- in a competitive environment where you have 1 or 2 players competing -- or 3 players competing for sports rights, the ability for us to come and co-bid with a big broadcast player, where they pay a significant amount of the freight and we pay a little bit and together, we have a compelling offer, is attractive. We don't have that platform advantage here in the U.S. And in fact, it's pretty late to the party. ESPN does a great job. Fox is doing a great job. Brian and Steve are doing a very good job with NBC Universal, and Time Warner is in the game. And so we have a very good channel in Velocity that we like very much. It's very profitable for us, the cost of content is very low. And the way that we'll use sports is that we'll take some content from Eurosport that we have the rights to -- we've taken some of the race content that Eurosport has rights to, and we put it on, on weekend mornings on Velocity for very low cost as an experiment with Eurosport. But we see -- outside the U.S., Eastern Europe, Western Europe, we've launched Eurosport in Asia and in Australia as being markets where it's not very competitive, we have scalability in terms of our access to content, and in many cases, we have rights. The other thing that Eurosport has, which has some accessibility, is we have online rights to all the sports that we have. And they have a very nice business related to that, but there's some nice optionality. If you look at what David Stern has done with the NBA by going direct-to-consumer, there's some very nice optionality on all the sports rights that Eurosport has that we could look at. But the U.S. market is pretty flooded, pretty aggressive and very expensive. And so I think we'll bow out of that for now.
Operator: The last question comes from Barton Crockett, FBR.
Barton E. Crockett: I wanted to ask a little bit more about the international outlook. I noticed you had the great growth in 2013, but a lot of that was kind of audience growth and some of that tied from new initiatives like your free-to-air launches. How do you see -- how sustainable do you see the audience trajectory into 2014, and how does that factor into your guidance? And then, kind of on a similar topic, Viacom, coming out of their earnings call for the December quarter, was saying that they saw green shoots in the TV ad market in Europe. And I think last quarter, you guys were feeling pretty good about the possibility of the macro feeling better there. Could you update us on your current feeling about the TV ad environment in Europe?
David M. Zaslav: We see it, really, as stable. There are markets, like Spain, that are getting a little better. Maybe the U.K., a little bit better. France and Italy, maybe flat to worse. So I would say, in the aggregate, we're seeing the market pretty stable from where it's been over the last 2 years. Again, if the market does pick up, and I hope that Philippe is correct that it starts to blossom, if it does, with the market share gains that we're seeing, with the local teams we have on the ground and the brand strength, we'll be able to take advantage of that. And that's part of our strategy. We've seen Western Europe as the new emerging market. We picked up assets. We've been very disciplined about growing share, about building our brands and about investing, and we've gotten some good return. Our assumption is it's going to stay like this for the next 2 to 3 years. If it gets better, then it will be reflected in a better performance. Andy?
Andrew C. Warren: Our base assumption for International is still double-digit revenue and OIBDA growth in 2014. So we still see a sustained, solid double-digit performance out of the base business internationally.
Craig Felenstein: Thanks for your time this morning, everybody, and please give us a call with any follow-up questions you may have.
Operator: Thank you for joining in today's conference. This concludes the presentation. You may now disconnect. Good day.